Operator: Good morning, and welcome to the Air Products' Fourth Quarter Earnings Release Conference Call. Today's call is being recorded at the request of Air Products. Please note that this presentation and the comments made on behalf of Air Products are subject to copyright by Air Products and all rights are reserved. Beginning today's call is Mr. Sidd Manjeshwar. Please go ahead sir.
Sidd Manjeshwar: Thank you, Annette. Good morning, everyone. Welcome to Air Products' fourth quarter 2023 earnings results teleconference. This is Sidd Manjeshwar, Vice President of Investor Relations and Corporate Treasurer. I'm pleased to be joined today by Seifi Ghasemi, our Chairman, President and CEO; Dr. Samir Serhan, our Chief Operating Officer; Melissa Schaeffer, our Chief Financial Officer; and Sean Major, our Executive Vice President, General Counsel and Secretary. After our comments, we will be pleased to take your questions. Our earnings release and the slides for this call are available on our website at airproducts.com. Today's discussion contains forward-looking statements, including those about earnings and capital expenditure guidance, business outlook and investment opportunities. Please refer to the cautionary note regarding forward-looking statements that is provided in our earnings release and on Slide #2. Additionally, throughout today's discussion, we will refer to various financial measures including earnings per share, operating income, operating margin, EBITDA, EBITDA margin, the effective tax rate and ROCE both on a total company and segment basis. Unless we specifically state otherwise, statements regarding these measures are referring to our adjusted non-GAAP financial measures. Reconciliations of these measures to our most directly comparable GAAP financial measures can be found on our website in the relevant earnings release section. Now with that, I'm pleased to turn the call over to Seifi.
Seifi Ghasemi: Thank you, Sidd, and good day to everyone. Thank you for taking time from your busy schedule to be on our call today. I would like to begin with the Slide #3, our safety performance which is our number one priority at Air Products. I'm pleased to share that our safety record has improved compared to last year continuing the significant progress we have made since 2014. Our ultimate goal will always be zero incidents and zero accidents. Now please turn to Slide #4, which summarizes our management philosophy. We reiterate these principles every quarter because they are fundamental to how we manage the company and continue to profitably grow our earnings per share. Now pleased to turn to Slide #5. Air Products has a very strong business model and a long-term strategy to deliver consistent earnings growth for the short and the long-term and I stress the long-term. Projects in our onsite business where we have long-term take or pay contracts with our customers drove our volume growth this year despite economic weakness across the regions. Our onsite business generates stable cash flow and consistently contributes about half of our total sales. Also noteworthy is that strong pricing action in our merchant business as well as our ability to contractually pass through energy costs in our onsite business, helped us mitigate inflation as well as higher power and energy costs, which we experienced last year. We also continue to successfully execute our long-term strategy to be the leader in blue and green hydrogen for the future with a significant number of clean hydrogen mega projects and their execution. Nobody in the world is matching what we are doing. Finally, our backlog of over $19 billion sets up a multiyear framework for double digit earnings per share growth, which has been our goal since 2014 and remains our goal for the future. Now please turn to Slide #6. Our fourth quarter adjusted earnings of $3.15 per share exceeded the top end of our guidance for the quarter and improved $0.30 or 11% versus last year. For the full year fiscal 2023, our adjusted earnings per share of 11.51 one improved $1.26 or 12% over prior year, continuing our strong track record of consistently delivering double digit average earnings growth per share since 2014.
NEOM: Before I go any further, I want to take time to thank all of our employees around the world, every one of the 23,000 of them, for their dedication and hard work, which has made it possible for us to deliver these impressive results despite significant economic and geopolitical headwinds. Now please turn to Slide #7. We are continuing to deliver on one we promised to our shareholders in 2014 executing to deliver an average of at least 10% growth in earnings per share each year as we move forward. We believe our two-pillar strategy of focusing on our base business while extending our leadership in the growing demand for clean hydrogen, that enable us to continue to deliver double digit growth in our EPS as we go forward. Now please turn to Slide #8. We are proud again of our accomplishment of more than 40 consecutive years of dividend increases. As you can see on this slide since 2014 we have increased our dividend on an average of 10% every year. Slide #9 shows our EBITDA margin trend continuing to be my favorite slide. Our margins have increased to nearly 40% in the second half of fiscal year 2023 confirming the strength of our business model and the significant cash flow that we generate. Now please turn to Slide #10 for our fiscal year 2024 outlook and guidance. Although there will continue to be challenging economic conditions in the near-term. I remain very optimistic about Air Products future. Our capital deployment strategy and strong business model will sustain our double digit average earnings growth rate. Therefore fiscal year 2024, we expect adjusted earnings per share in the range of $12:80 to $13.10 per share, up 13% at the midpoint over last year. We expect new projects, many of which are already on stream, to drive our earnings per share growth next year. Additionally, we also expect improved LNG sale of equipment activities to add to our favorable results in 2024. And for the first quarter of 2024, our adjusted earnings per share guidance is $2.90 to $3.05, up 10% to 16% over last year. We also see our CapEx for next year somewhere between $5 billion $5.5 billion. Now please turn to Slide #11. I know that some of our investors refer to our major project commitments slide to track our projects. However, the size and scale of these projects, which all have multiyear execution time frames, certainly now warrant more than time and attention than we can give them in a single line on a single slide. Therefore, we remain committed to providing investors visibility and meaningful update to a scheduled capital and off taker status as we continue to progress our major projects. So from time to time, we will give you a more depth look into our projects. Today we have decided to give you an update on our blue hydrogen and blue ammonia clean energy complex in Louisiana, which is one of the largest projects that we are executing. Please turn to Slide #12. We announced our intent to build this broader scale facility in Louisiana in October 2021. As we moved forward with detailed planning to execute this project, a significant positive event happened in August of 2022 when the United States Congress passed the RRA legislation which created tax incentives for the production of blue and green hydrogen. In addition, by 2022 it was becoming more and more evident that the future demand for blue hydrogen and blue ammonia is improving significantly supported by positive developments in other regions of the world, particularly in Europe and Japan. Not only is there growing need to decarbonize the heavy transportation and industrial sector such as a seed, but also other growing applications including using low carbon intensity blue ammonia to fuel ships, reduce emissions from power plants and more. These events, especially the passage of the RRA legislation, LED us to consider that now rather than later is the best time to build the infrastructure for this project to accommodate future expansion. It is important that we pre-invest in the infrastructure needed for future expansion now, so that when the demand increases rapidly, as we expect it to, we will be able to bring the next phase of this project on stream as fast as possible. In addition to the increased cost to build the infrastructure, obviously the project cost has gone up due to inflation that we are seeing in the past three years since we announced the project and anticipate in the future to build this facility. In addition to all of this, we have included in the $7 billion funds to cover the interest on capital that we will be using as we build this plant. This facility is a huge facility. We are very excited about its future. We remain totally committed to this project and its profitability. It is a unique one-of-a-kind project that will put us significantly ahead of anybody else in the world in the production of this product. We see significant demand for the product that this plant will produce. As a result, I am very pleased to announce today that our Board of Directors has given us final investment approval to proceed with the project at the new capital estimate of $7 billion. We expect this project will deliver double digit returns to our investors when it is fully on stream. As you know, this project will produce hydrogen and ammonia at very low carbon intensity. As the first company to make these unique low carbon hydrogen and ammonia products at a large scale, we expect to get a premium for the product which will allow us to achieve double digit returns on capital. Additionally, the scale of our activities will provide a cost advantage over other similar projects in development at this time. We are really excited about the future of low carbon hydrogen and ammonia that is by this project in Louisiana is well underway and we are laying the groundwork to meet the expected additional demand in the future. The additional infrastructure we are building now will continue to be a competitive advantage for Air Products in the future. Now it is my pleasure to turn the call over to Melissa Schaeffer, our Chief Financial Officer, to give you a summary of the fourth quarter 2023 results. Melissa?
Melissa Schaeffer: Thank you, Seifi. And my thanks to the people of Air Products who have again delivered double digit average earnings growth in a difficult environment, an impressive trend that we have achieved in nine of the past 10 quarters. Now please turn to Slide 13 for a review of our fourth quarter results. In comparison to last year, we have again achieved underlying sales growth despite ongoing economic weakness. Merchant price was 4% higher compared to last year with positive pricing in most regions. This corresponds to a 2% price improvement for the whole company. Higher onsite volume, including strong demand for hydrogen and higher LNG sale of equipment activities, were offset by one-time opportunities in the prior year, resulting in flat volumes for the company overall. Declining natural gas costs in Europe and the Americas reduced energy cost pass-through to our onsite customers. This 14% decline in sales has no impact on profit, but was a significant contributor to our higher margin. The overall impact of currency was minimal as a strengthening of the euro and British pound against the U.S. dollar was mostly offset by a weak Chinese RMB. EBITDA of $1.3 billion improved 10% as favorable price, variable costs and equity affiliate income more than offset higher other costs. EBITDA was up in four of our five reporting segments. EBITDA margin jumped more than 700 basis points with lower energy cost pass-through contributing to about two thirds of the improvement. ROCE progressed steadily to reach 12%, which is 90 basis points higher than last year. We expect to maintain this steady progression as we continue bringing new projects on stream and put the cash on our balance sheet to work. Adjusting for cash, our ROCE would have been relatively flat at 13.4%. Sequentially, results improved primarily due to increased LNG sale of equipment activities as well as onsite. Now please turn to Slide 14 for a discussion of our earnings per share. Our fourth quarter adjusted earnings were $3.15 per share, up $0.30 or 11% compared to last year, due to strong pricing and higher equity affiliate income, partially offset by unfavorable costs. Price, net of variable costs, contributed $0.44 this quarter, benefiting from both price actions and lower power costs. Cost has been unfavorable impact of $0.28 driven by higher inflation and higher maintenance as well as our ongoing efforts to support our growth strategy, including bringing new assets on stream. Accurate affiliate income was $0.19 higher due to the contribution of the second phase of the Jazan project and positive results from other unconsolidated joint ventures across the region. The remaining items including non-controlling interest, interest expense, and the tax rate together had a modest negative $0.03 impact. Now please turn to Slide 15. We remain committed to maintaining our current targeted A/A2 rating. And with our strong cash flow and additional debt leverage, we estimate that we can put more than $30 billion to work over the next 10 years. Today, we have a backlog over $19 billion with approximately $15 billion of projects focused on the energy transition. We believe that investing in these high return projects is the best way to create long-term shareholder value. Now to begin the review of our business segment results, I'll turn the call to Dr. Serhan.
Samir Serhan: Thank you, Melissa. Given our first [ph] fourth quarter, we again saw broad based improvements across our businesses. Profits were favorable in four out of our five segments compared to the previous year. Please turn to Slide 16 for a review of our Americas segment results. Compared to last year, merchant price improved 10%, which corresponded to a 4% improvement for the overall region. Volumes grew 3% due to a strong demand for hydrogen. EBITDA of just over $600 million improved 17% driven by strong price, volume and equity affiliate income while partially offset by higher cost. EBITDA margin of 44.5% jumped more than 1100 basis points. About two thirds of the margin improvement was driven by lower energy cost pass-through. Sequentially, EBITDA increased 6% mainly on better hydrogen volume. Now please turn to Slide 17 for a review of our Asia segment results. Compared to last year, Asia volumes were negatively impacted by slower economic recovery in China, a weak electronics market and one-time opportunities that benefit last year results. Despite these volume headwinds, our teams maintained focus on price. EBITDA and margin were down primarily due to the unfavorable volumes. Sequentially price and volume were flat. However, EBITDA declined primarily due to unfavorable business mix. Please turn to Slide 18 for a review of our Europe segment results. Compared to last year, our costs subsided while merchant pricing remained stable. Strong volumes in our onsite business were offset by weaker demand for merchant products resulting in flat volumes for the segment overall. EBITDA was up 15%, driven by the lower power cost and stronger currencies against the U.S. dollar which more than compensated for the other cost increases. EBITDA margin was 1000 basis points higher, approximately two thirds of which was due to the impact of lower energy cost pass-through. Sequentially, the region's EBITDA was relatively flat as higher volume was offset by unfavorable price and costs. Like we mentioned before, we brought the new project in Uzbekistan on stream last month earlier than previously anticipated. We expect this project to gradually ramp up and significantly contribute to growth in this segment going forward. Now please turn to Slide 19. Before we move on to the next roboting segment, I would like to take this opportunity to highlight the recently announced largest blue hydrogen project in Europe. Blue hydrogen project is being developed in conjunction with Porthos CO2 Transport and Storage project in the Port of Rotterdam. But we have an extensive hydrogen pipeline network. Porthos will transport the CO2 emission from participating industrial companies and sequester them in depleted gas fields in the North Sea. Air Products will build, own and operate the carbon capture and CO2 treatment facility which will allow us to capture the emissions from our existing hydrogen facility as well as the customer refinery. The resulting low carbon hydrogen produce will be supplied to Exxon Mobil under a long-term off-take agreement. European regulations are supportive of low carbon projects. We have secured additional support from the Dutch Government. We expect the project to be on stream in 2026. Now please turn to Slide 20 for a review of our Middle East and India segment. Compared to last year, sales were lower due to lower volume. The second phase of the design project, which closed in mid-January of this year, added to equity affiliate income and it drove the region's overall results. Now please turn to Slide 21 for our Corporate and Other segment results. This segment includes our sale of equipment businesses as well as our centrally managed functions and corporate costs. The sales and profit for this segment improved this quarter primarily due to higher LNG sale of equipment activities. We continue to have robust discussions with customer interested in our LNG technology and equipment. We were pleased to announce a significant and new project involving sale of equipment in Malaysia last week adding to our already robust project pipeline. Echoing Seifi and Melissa, the outstanding result this quarter again demonstrate the strength of our businesses. I also would like to thank our teams around the world for their hard work and commitment. I would like now to turn the call back to Seifi to provide his closing remarks.
Seifi Ghasemi: Thank you very much, Dr. Serhan. I appreciate that. Now please turn to Slide #22. We present this slide during every earning call because it is our core belief that the commitment and motivation of our people are the key drivers of our success. After all, technologies, processes and physical assets, which are often cited as competitive advantages, are all created by people in the organization. At Air Products, we have built an outstanding organization. Our people working together are creating innovative technologies, processes and facilities that are making us a first mover in supporting the transition to lower and zero carbon energy and decarbonizing the transportation and industrial sectors. We are doing this alongside our excellent core industrial gases business which is also underpinned by sustainability and delivering significant productivity and environmental benefits to our customers around the world. At Air Products, our higher purpose is to bring people together to collaborate and innovate solutions to significant energy and environmental challenges in our world. I can say that our entire team is focused on sustainable growth opportunities generating a cleaner future for humanity. With that, we are now ready to answer any of your questions and we welcome them. Operator, we are ready for questions please.
Operator: Thank you. [Operator Instructions] We'll take your first caller, John McNulty from BMO Capital Markets. Please go ahead.
John McNulty: Yes. Good morning. Thanks for taking my question. So I guess I wanted to dig into the Louisiana project a little bit more and the incremental $2.5 billion dollars of spend. I guess it sounds like there's a bunch of buckets including capitalized interest, taking over more utilities, kind of expanding the scope of the project. I guess, can you help us to put into buckets where the bulk of that $2.5 billion is going?
Seifi Ghasemi: Good morning, John. John, excellent question. Number one, obviously, as we said, we announced this project two and a half years ago, everybody knows that there has been inflation, there is no skating that, and there will be inflation as we continue to do this project. The labor markets are tight. Some of the supply equipment and so on are tight. Therefore, there is significant inflation that we have had to deal with, and we have included that in the new capital project. Order of magnitude, I mean, let's say that it's about $1 billion or more is inflation. The rest of it is the fact that we have, as I said during the call, we have put in interest on capital. Obviously, as capital goes up, we do charge ourselves interest during our own capital, because otherwise, we would apply it under. So that is a significant part of that $2.5 billion. And then in addition to that, we have decided – because we see demand for this product being significant, that right now, some of the fundamental infrastructure, we want to build it bigger, so that when we want to expand, we don't have to build smaller units again, right? Things like water supply, things like land preparation, things like we bought additional 1,000 acres for expansion. So it's a combination of all of that, that adds up to the $2.5 billion, you would say, increase. We also have put in contingency and we have reviewed this thing in detail with our Board, and I'm very happy that they have supported us, but I keep going back to the fundamental issue that we are reiterating, but we are pleased, very carefully that we expect double-digit return now on $7 billion better than double-digit return on $4.5 billion. So if you want to look at it in a glass half full, we are actually going to make more money than before. John, I cannot overstress the fact that we see the demand for the product, materializing, it is serious. And as we go forward, we will be able to demonstrate that to you. But this is a very exciting project. It's a unique project. We are executing it. We are in the field and our people are very excited about it, and we are all very excited and very positive about this project.
John McNulty: Got it. Thanks very much for the color on that. And then I guess my second question would just be on the Netherlands project. It sounds like it's an interesting kind of emerging opportunity. Can you help us to think about how much capital may get put to work on that project and how you're thinking about the returns for it as well?
Seifi Ghasemi: Yes. I'm going to add Dr. Serhan will give you more color, but obviously, the return for that will be double digits as like anything else we do. But Dr. Serhan is very close to that project, and I'd like him to comment on that. Samir?
Samir Serhan: Thanks, Seifi. We're really not going to talk about the specific about the capital for the project. But again, it's a very exciting opportunity. It's our third project in our first mover advantage when it comes to blue hydrogen. We started with the net-zero blue hydrogen project in Edmonton, Canada, and we went to the Louisiana Darrow project. And now this is really the third and it's really the biggest also in Europe. Very excited about it with long-term off-take agreement with a subsidiary of Exxon Mobil Esso. We capture -- we will capture CO2 from our existing hydrogen facility in the Port of Rotterdam and we will also capture CO2 from another Exxon hydrogen plan where we basically provided to Porthos to sequester under the North Sea. Again, emphasizing the double-digit return for the project and coming on to the…
John McNulty: Thanks very much for the color.
Samir Serhan: Thank you.
Seifi Ghasemi: Thank you, John.
Operator: We'll hear next from John Roberts from Mizuho.
John Roberts: Thank you. Nice quarter. Staying on the blue hydrogen project in Europe, anything unique about the gas sourcing for that project? Given Europe's disadvantaged gas situation? And is that replacing existing hydrogen capacity? Or is your customer expanding their demand?
Seifi Ghasemi: I can answer that, and then if Dr. Serhan wants to add to that. But fundamentally, it is an existing plant that we have – existing plants that Exxon has. We have their technology and the know-how, we are going to put carbon capture on these existing units and capture the carbon and put it in this pipeline to go and be sequestered. So we are actually reducing CO2 emission into the air. This is not a new plant that people say, what you are building a new plant you are capturing the CO2, but you're not really reducing existing emission. This is really reducing existing emissions. And that is where our technology is, and that's where our know-how is. And therefore, it's a very positive project, it's received very positively. And it is a significant project. You don't want to disclose the exact amount because of the NDAs that we have. But it is not a $10 million project, but it's not a $2 billion project either, but it's a substantial amount of capital. Dr. Serhan, do you want to add in?
Samir Serhan: Again, it's really emphasizing no additional hydrogen. It's just really converting a gray hydrogen to blue hydrogen, and again, with full support of the Dutch government for low carbon and hydrogen.
John Roberts: And on the volume weakness in China, could you peel apart syngas versus electronics versus merchant boxline [ph]?
Seifi Ghasemi: John, that is a very, very good question. I've been trying to get a handle on that myself, which is not that easy, but where the weakness is. But there is obviously weakness in the electronics, but there is a weakness in the fundamental Chinese economy and we are beginning to see that. So I don't want to go through all of the details of the breakdowns, but we are seeing a general weakness. And hopefully, that trend will change, but that -- despite that, we are giving you the guidance that we are giving you, because we are saying that if the Chinese economy doesn't develop as well as it should, then what we will take additional productivity measures to make sure we deliver the guidance that we have given.
John Roberts: Great. Thank you.
Seifollah Ghasemi: Thank you, John.
Operator: [Operator Instructions] We'll hear next from Vincent Andrews from Morgan Stanley.
Vincent Andrews: Thank you and good morning. Seifi, I wanted to follow up on Louisiana in two ways. One, it sounds like some of the incremental CapEx will be spent now, but the benefits won't necessarily accrue to the company at the time the first phase starts up. So, I just want to understand, you'll have $7 billion of total CapEx spent when the project starts up. And traditionally, we think of your return coming to the company in that first year. Will you not get the full – would you not get the return on the full $7 billion of CapEx when you start up? Or you have to wait until Phase 2 to get some of the return on some of the infrastructure and real estate spend that you're doing incrementally?
Seifi Ghasemi: Vincent, excellent question. We are not going to leave any money on the table. We are going to price the product in such a way that we get double-digit return on the project on the $7 billion right from the start.
Vincent Andrews: And then secondly, if I – go ahead.
Seifi Ghasemi: No, no, after you.
Vincent Andrews: Okay. And then secondly, I wanted to ask about your Canadian project. I believe your – one of your off-take partners is also constructing a facility up there in part to use your product. And I believe that at an investor event earlier in September, where that project might be delayed. If that project is delayed, how does that impact Air Products economics and their ability to market their own product?
Seifi Ghasemi: Well, the way I would like to answer that is that first of all, we are committed to meeting the requirements of our customer. So whenever our customers comes on stream, we will have our plans ready for them. They are a very valued customer. You know who they are, Exxon, and they are one of our largest customers, and we have a lot of respect for them. And we worked with them very closely. In terms of if they are delayed, then we are ready not 100% of the product is going to them. We have other customers that we believe will be taking the product on time. We have a liquid hydrogen plant that we are going to feed. Therefore, we would expect that the effect on products would not be that material.
Vincent Andrews: Thank you very much for all the details. I appreciated.
Operator: We'll hear next from David Begleiter from Deutsche Bank.
Unidentified Analyst: Hi good morning. This is Steve Huang [ph] here for Dave. I guess, on the major project slide, are there any other material changes on other projects in terms of project cost and the time line that you haven't updated? And also, I guess, on project costs, if I think about the cost inflation on Louisiana project, that's about 20%. Why shouldn't that be the case for other projects that you have in your pipeline?
Seifi Ghasemi: Well, first of all, with respect to other projects, there is no material change in the profitability of those projects that we want to bring to your attention now. And as I said in my call, with some of these bigger projects as we go forward in our earnings calls, we give you more detail about the different projects. The second thing is that if you take a look at the inflation thing, we -- one of the biggest projects we are executing was Jazan. That is already done. The next project, a big project was NEOM. We have already given you the capital for that, and we don't expect any significant inflation on that. That is in our backlog. Vidara [ph], we gave you the numbers right now. The projects that we are doing, the other projects that we are doing are in such a way that the return is connected to the capital. So even if the capital goes up, the return doesn't go down. So there is nothing that material to report at that stage.
Unidentified Analyst: Okay. Thanks. Yes. And then in F Q1, European pricing was down 1%. Is there any specific competitive dynamic that resulted in that 1% decline because I don't think you have a decline in pricing for a long time. And I think your peer is still seeing some price increase in Europe F Q4. Can you just talk about what's causing that and then your expectation on pricing in Europe and then just in general for next year?
Seifi Ghasemi: Well, I would obviously love to answer your question in detail. But you know that we do have a very strong policy and we adhere to that. All of us at adhere to that. We do not talk about forward-looking on price. That is not appropriate in our industry, and we can talk to you about what has happened in the past, but we do not have any opinion or any suggestions about what is going to happen in the future. And so my apologies, I will not be able to answer that question following our policy and my Chief Legal Officer is nodding, he said that I'm doing the right thing.
Unidentified Analyst: Okay, thank you.
Operator: We'll move next to Mike Leithead from Barclays.
Mike Leithead: Great. Thank you. Good morning. First, I want to circle back on Louisiana. You just answered an earlier question, I think, talking about pricing the product appropriately to get your double-digit return upon startup, which is great. But when should investors expect the signed off-take agreement to help us get a bit more comfortable with the revenue stream from the projects?
Seifi Ghasemi: Well, on that point, I have been very kind of -- very clear about what is our philosophy. We could have signed agreements, long-term agreements for selling that product two years ago. But we always said that we do not want to do that because as we go forward, it is going to become very clear to prospective customers that there are not that many plants or sources of low carbon – the level of low carbon intensity, hydrogen and blue ammonia that we are going to produce. And therefore, the value of our products will go higher. We are not in a hurry to sign long-term agreements. The demand is going to be there. But right now, if you are negotiating with any of these prospective customers, to be very frank, they give you a list of 20 projects that, oh, wait a minute, I can buy from this guy in the Middle East and this guy in Louisiana and this project and this project. All of those projects are paper projects. Nobody is doing anything. We are the only people who are actually building a plan. So we have another two years, three years before these plants come on stream. We should not be in a hurry to go and sell this stuff cheap just because that makes everybody feel happy. We – our business, our goal, our responsibility is to make as much money as we can for the shareholders. We think the value of these products will become higher as we get closer to where the demand is there, and there is not that many people who are supplying it. So do not expect for us to come in and make a big announcement about selling this product in the near future, because we are just not going to do that. We believe that the demand is there. Our customers know that the demand is there. It's just a little bit of a game about at what point people are going to come to the table, and we just don't think that right now is the time to do that. But obviously, at some point in time, we do want to sell the product, there's no question about that. But it's just the fact that we are trying to get the maximum value for the very unique product that we are going to be making. Nobody else in the world is producing this kind of product. And by the time this plant comes on stream, there is nobody else who is going to be producing this product at this scale because nobody has made the commitment and it takes a long time to develop these projects and build these projects.
Mike Leithead: Thank you for the very thoughtful answer. And then second, just a quick follow-up on cash flow maybe for Melissa. I think operating cash flow the past two years is about $3.2 billion, whereas CapEx is running about $5 billion, and the dividend is about $1.5 billion [indiscernible]. So leverage is obviously moving a bit higher short term. When in your multiyear outlook, would you expect that to peak out? Or when should we start to see operating cash flow helped by the project start to move meaningfully higher in your view?
Seifi Ghasemi: I'll make a general comment, and then I'll turn it over to Melissa to give you more details if necessary. But fundamentally, we have always been telling you that we are committed to maintaining our A rating. That means that we will not lever the company more than about 3.5 times. If we ever get to that stage, we'll stop doing projects. We are going to be responsible. We have significant opportunity. And as Melissa has shown you on the other slides, we still have a lot of headroom to lever the company before we run out of cash. But if we ever get to the stage, I just want to make the point, if we get to the stage that we are getting to the limit of 3.5 times then we would slow down on the projects. We are not going to be irresponsible and try to lever the company because we are very committed to our A rating. That is the general comment. Specifically, Melissa, do you want to add to that?
Melissa Schaeffer: Sure. Thanks, Seifi. Hi Mike, how are you? So as you mentioned, we do continue to have very strong cash flow to support our ongoing business. We do continue to increase dividends, which is our commitment and we are executing against our global project backlog. With that situation, because of the cash outlay, we do expect to go to the debt market this year -- this fiscal year. With that being said, as we bring these assets on stream, we will, of course, naturally be delevered. So that will be a decrease in our leverage and obviously, we'll continue to maintain at A/A2 rating as Seifi mentioned. So again, likely will go out this year with the cash needs, but we do feel very comfortable that we will stay within that two times leverage so that we can maintain our AA2 rating.
Mike Leithead: Great. Thank you so much.
Seifi Ghasemi: Thank you.
Operator: Jeff Zekauskas from JPMorgan. Your line is open. Please go ahead.
Jeff Zekauskas: Thanks very much. The working capital was a use of $424 million this year and your undistributed earnings of equity method investments was negative $260 million [ph]. So if you add that up, that $685 million, that was pulled away from cash from operations. And so your cash flow was flat year-over-year. For 2024, what do you expect the $3.5 billion, $4 billion, more than $4 billion is working capital and outflow or an inflow? Can you explain your cash flow dynamics for next year?
Seifi Ghasemi: Good morning Jeff, as usual you are asking a very good and a very detailed question. And I'm going to refer that details to Melissa to give you some color on that. Melissa?
Melissa Schaeffer: Yes, absolutely. Thanks, Jeff. I appreciate your questions, and you always definitely have very interesting and detailed questions. So as we mentioned, we do still have a very strong cash inflow. This year, we had a few significant large cash outflows, including the closing of our Phase 2 for Jazan that happened in January. However, with that being said, working capital is still being largely funded by our ongoing influent trade activities. This year, as we mentioned, we do expect to have CapEx at around $5 billion to $5.5 billion, which is not far off where we were this year, including the closing of the Jazan joint venture. So we are very comfortable given our current cash flow that we will be able to meet ongoing working capital needs as well as execute against our growth strategy.
Unidentified Analyst: Okay. All right. For my follow-up, if your investment in Louisiana is going to be $7 billion, is that $7 billion to be spent by 2026? And so should we assume that your CapEx in 2025 and 2026 should be higher than the $5 billion to $5.5 billion range you've got for 2024?
Seifi Ghasemi: Yes, I'll take that question. We have announced officially today that we expect the project cost to be $7 billion. We have not announced that we expect that Air Products will spend $7 billion of building the project. We can, as we go forward and we sign long-term agreements to sell the product, we can and we will seriously consider like we did with NEOM to lever the project and finance the project. So you might end up that out of the $7 billion our actual cash outlay for the project might be $2 billion, $2.5 billion, $3 billion, not $7 billion. So there is a possibility of doing that. Please don't forget that. So we are -- we have the capacity to spend our own cash, but we would rather project finance these products so that we have more cash for future projects. And this -- they have demonstrated, we did this with Jazan, where it was a $12 billion project and the project finance that. We have done that with NEOM. And there is a good possibility, I'm not saying 100%, but there is a good possibility that we will do that with this project, which is a very interesting project and very amenable to having project finance. Okay, Jeff?
Unidentified Analyst: Yes. Thank you so much.
Seifi Ghasemi: Thank you very much.
Operator: Moving next to Marc Bianchi from TD Cowen.
Marc Bianchi: Hi. Thank you. I'd first like to ask for an update on the NEOM project. Can you talk about progress there, remind us of the time line and any updates on potential off-take agreements?
Seifi Ghasemi: Our NEOM project is moving forward very nicely. We are certainly almost done with the engineering. We are actually constructing the plant. We have, as you saw an announcement today by a NEOM Green Hydrogen company that they are taking delivery of the wind turbines. So that project is expected. But right now, the time line that we have announced is at the end of 2026, beginning of 2027, and we fully expect to meet that deadline. So that -- in terms of discussions about the uptake, again, there are comments that I made about Louisiana apply to that. But also at the same time, there has been public announcements by other people about their demand for green hydrogen in Europe? You saw that one of the largest oil companies in the world announced that they will need 500,000 tons of green hydrogen by 2030, just to put it in perspective, 500,000 tons is equivalent of three times the capacity of NEOM. So there is going to be plenty of demand for that project but we will wait, as I said, in terms of our strategy to price that appropriately so that we can get appropriate return on that project.
Marc Bianchi: Okay, thank you Seifi. That's a great overview. Thank you. The other question I had was on the targeting greater than 10% internal rate of return. Does that suggest that there's – this is an upgrade from your prior messaging of sort of an EBIT contribution of 10% of the project cost? And does this now include the benefit of IRA, I believe, before the comment was that you were not including the benefit of IRA?
Seifi Ghasemi: Well, it's a combination of all of that. We have always said that 10% IRA is the minimum. That really translates to what you said, $0.10 of operating profit on a dollar of investment. Those two go together. We do expect, and we have demonstrated that. Now that you have all of the detailed numbers, please take a look at the return we are getting on Jazan. In Jazan, it's a $12 billion project. And if you look carefully, you'll find out that in terms of IRR, the return on that is more than 15%. So we obviously, as I said, the price our products not based on just the return, the price is based on what the market bears. And -- but if it goes below 10%, you usually don't do the projects unless it is phenomenally strategic and we don't have that -- too many of those. So overall, the 10% IRR is our minimum. And we expect most of our projects to produce more than that.
Marc Bianchi: And the inclusion of benefit from IRA?
Seifi Ghasemi: Well, the IRA, it depends on which project and how much it affects that and all of that. But IRA obviously, we've had. But as you know, IRA was designed in such a way that we would be able to get a good return, but also price the product to encourage the customers to use that because it was an incentive for that. So it's going to help both sides.
Marc Bianchi: Okay. Thank you very much.
Seifi Ghasemi: Thank you.
Operator: We'll move next to Mike Sison from Wells Fargo.
Mike Sison: Hey, good morning. Nice quarter and outlook. I apologize. I just want to ask Louisiana again. Maybe I just don't understand. So I take the $7 billion and then your normal 10% of capital should be applied on the $7 billion? Or is that less than $7 billion?
Seifi Ghasemi: Well, the rule of time thumb that we said you should expect once that plant is fully operational you should expect if we have financed that ourselves and the $7 billion is our money, you should expand the $700 million uplift on the operating income of our products. But as I said, we might decide to project finance it, which, in that case, it will be in accordance with how much cash we put in there. But if it was our money you should expect $700 million.
Mike Sison: Okay. And then given that the cost has gone up from 4 5% to 7%, is the pricing assumption on what you're going to sell has that changed? And does that 10% return change on a certain price that you need to get for the product?
Seifi Ghasemi: Yes, we believe that – but this is why our Board approved the project at $7 billion because they see that we expect that we will be able to sell the product at a price and at a premium to get that return. Look, it is not very difficult for the investors to take pen to pencil and just go through order of magnitude that plant to make it simple, assume it is making 3.5 million ton a year of blue ammonia. Assume a price for blue ammonia, you know where the price of gray is obviously, blue is going to be higher than that and then see what the revenue is. And then the cost, it is natural gas costs that you can calculate; it is operating cost that you can calculate, its electricity cost that you can calculate very easily. And then by the time you get done with the math, you'll find out that, that plant has – at a reasonable price for blue ammonia, it can easily make more than $1.4 billion, $1.5 billion of EBITDA. So then that or $7 billion becomes a decent return project. So it is not difficult to actually do the calculation. Right now, you know the price of gray ammonia is. But it is not very difficult to convince yourself that, that project is a very, very good project. The important thing for Air Products is to execute the project and bring the project, get the permit for the classic, well, do the sequestration, those are the execution is the challenge for us, but I think the rest of it will work out very nicely.
Mike Sison: Understand. Thank you very much.
Seifi Ghasemi: Thank you.
Operator: Kevin McCarthy from Vertical Research Partners. Your line is open.
Kevin McCarthy: Yes, good morning. Seifi, about three weeks ago, the U.S. Government announced its intention to establish seven regional hydrogen hubs at a cost of $7 billion to be funded by the bipartisan infrastructure law. Be curious to hear your thoughts on that program. I believe you're involved with the so-called Arches [ph] project or hub in California. On the one hand, I suppose this accelerate some market development. On the other hand, there are many dozens of partners in these hubs, some of which might be customers; others might be existing competitors or possibly future competitors. So maybe you can put that into context for us in terms of your involvement and how you see that market developing?
Seifi Ghasemi: For that particular project, which is part of the infrastructure project, we have never really emphasized that too much because that in terms of helping what we are doing is not comparable to the IRA. It is $7 billion spread over a lot of different projects. By the time it gets to any one-off individual company and so on, the amount is not that much to move in either. We obviously welcome any kind of investment to promote the use of hydrogen. That is a positive thing. But in terms of any kind of a material – we are part of the [indiscernible] in, I mean, they have an NDA, we cannot talk about it that much. But fundamentally, that contribution from that infrastructure bill, as you said, $7 billion divided by all of these projects is not going to move the needle for us in terms of what we were or we were not going to do that. We have never counted that as being anything significant. That is not comparable anything like the IRA because with the IRA, it becomes very meaningful when you start. We are sequesting in Louisiana, 5 million ton of CO2 at $80, that's $400 million a year of contribution. Obviously, it costs some money to sequester is. But as I said, the numbers are not comparable. So on the infrastructure bill, we have always said it's a good thing. It obviously is a good thing, it's better than nothing, but it's not something that will make any material difference to what we are doing or not doing.
Kevin McCarthy: Okay. Thank you for that. And then secondly, if I may, would you comment on your outlook for the corporate and other line. It came down quite a bit in the fiscal fourth quarter, and you've been active on LNG. So maybe you can comment on the forward profile for LNG as well as the controllable expenses flowing through that line in 2024.
Seifi Ghasemi: Sure. I have made this statement in the last quarter, and I'd like to reiterate that, that we do have programs in order to control our corporate cost. We had a significant amount of corporate costs in 2023 because we were pursuing a lot of projects and starting up a lot of projects, those things do cost money, we don't expect that the amount will be as much in 2024. In addition, the fact that our LNG business and so on and the other businesses are doing well, will help on that. So we do expect a reduction of that corporate cost in 2024 versus 2023, quite a significant amount.
Kevin McCarthy: Thank you very much.
Seifi Ghasemi: Sure. Thank you.
Operator: Moving on to Stephen Byrne from Bank of America.
Stephen Byrne: Yes. Thank you. Was the strength in hydrogen demand during the quarter in the Americas, specifically in your U.S. Gulf Coast pipeline? And if so, what fraction of those pipeline customers are you in dialogue with about switching them from gray to blue? And if the demand outlook in that region for Blue hydrogen is so robust, are you – might you potentially consider reducing the design and scope of the Louisiana project and drop the ammonia piece of it, which would include the offshore port and so forth in addition to an ammonia reactor?
Seifi Ghasemi: You are asking a very, very good question. I do not expect that we would get to the stage that we would drop the ammonia part because there will be a robust demand for blue ammonia. But you are very right, the demand for blue hydrogen is growing in that part of the world. We are engaged with all of the customers and the interesting thing is that if we ever expand the project, that is where we can focus more on what you said that maybe produce more blue hydrogen than trying to produce more ammonia. So overall, the story is very positive, as you said, and the fact that Air Products has a 700-mile hydrogen pipeline in that part of the world gives us significant advantage in being able to optimize this. But that is a very good position to be. And I think you're pointing out a very good point.
Stephen Byrne: And then one follow-on with respect to the Netherlands blue hydrogen project, I believe Air Liquide is also involved in a project with Porthos. And my question for you is, as Netherlands is moving in this direction of blue hydrogen, do you see potential that the rest of Europe might relax its preference for green and embrace blue more?
Seifi Ghasemi: Right now, the blue hydrogen project in Netherlands is very practical because you do have these steam methane reformers there, and it's very efficient to capture the CO2 from the and produce blue hydrogen, it's better than the gray hydrogen. But I do not think that, that signals that the fundamental demand for new applications in Europe, especially for mobility and for some of the refineries will go to blue. I think green hydrogen will still be – will end up being a preference for Europe, as you have seen in the announcement of some of the major possible users. So I think it will be a combination of the two.
Stephen Byrne: Thank you.
Seifi Ghasemi: Thank you. [Indiscernible]
Operator: [Operator Instructions] We'll hear next from Josh Spector from UBS.
Chris Perrella: Hi, good morning. It's Chris Perrella on for Josh. A follow-up on, I guess, the volume outlook for this coming year with volumes in Asia down and some of the one-off deals that you did in 2023 rolling off, what are the volume assumptions underpinning your guidance for this coming year?
Seifi Ghasemi: Well, on that point, the way we have looked at this thing and – it's very difficult to obviously predict the future. But overall, the way we have looked at this thing that you know that our business is very much related to – not to GDP but to industrial production. So the way we have kind of budgeted ourselves is that industrial production in the U.S. will be positive. And not double digit or anything like that. Last year, it was about 2.5%, something like that, maybe a little bit less than that. So positive in the U.S., flat in Europe, and down in Asia. That's the very much overall economic condition under which we have produced the guidance for next year.
Chris Perrella: All right. And one quick follow-up on the Rotterdam project. How should we think about the capital spend? And will – with Porthos taking the CO2 from you, what's the cost involved in having them essentially dispose of it?
Seifi Ghasemi: Well, they are going to charge us $10 per ton for disposing the CO2, which we will obviously pass through to our customers. We wouldn't be paying for that. And then we obviously – we have a charge for our capital, and then there is a charge for the sequestration. And I don't think we are at liberty to quote the number that Porthos is going to charge us but at some point in time, they might decide to make that public.
Samir Serhan: But the Dutch government providing incentives for the CO2 sequestration.
Seifi Ghasemi: But Dr. Serhan is adding that the Dutch government is also contributing on the cost for the sequestration.
Chris Perrella: All right. Is there a capital – a rough capital number for this -- for the carbon capture?
Seifi Ghasemi: We haven't disclosed that. We are not allowed to disclose that. But as I said, it is more than $100 million and less than $1 billion, so somewhere in between.
Chris Perrella: Fair enough. Thank you very much.
Seifi Ghasemi: So sorry about that. We are not allowed to disclose the number. Okay.
Chris Perrella: All right. Thank you.
Seifi Ghasemi: Thank you very much. Okay. With that, I think we have significantly gone over time. Is there anybody else in the queue, operator?
Operator: At this time, there are no additional callers in the queue.
Seifi Ghasemi: Okay. Well, with that, I would like to thank everybody for being on our call today. We appreciate your interest in Air Products, and we look forward to discussing our results with you again next quarter. Stay safe, stay healthy and all the best, and have a great day.
Operator: That does conclude today's teleconference. We thank you all for your participation. You may now disconnect.